Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Liberty Media Corporation 2015 First Quarter Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded Friday, May 8, 2015.
 I would now like to turn the conference over to Courtnee Ulrich, Vice President of Investor Relations. Please go ahead. 
Courtnee Ulrich: Thank you. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements about business strategies, market potential, new service and product launches,  the future financial performance of SiriusXM, stock repurchases and other matters that are not historical facts. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements, including, without limitation, possible changes in market acceptance of new products or services, the ability of our businesses to attract and retain customers, competitive issues, regulatory issues and market conditions conducive to buybacks. These forward-looking statements speak only as of the date of this call, and Liberty Media expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Media's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based.
 On today's call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA. The required definitions and reconciliations, preliminary notes and Schedules 1 through 4 can be found at the end of the presentation for today's call, which is available on our website.
 This call also may include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 regarding Liberty Broadband. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. These forward-looking statements speak only as of the date of this call, and Liberty Broadband expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Broadband's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based.
 Now I'd like to introduce Greg Maffei, Liberty President and CEO. 
Gregory Maffei: Thank you, Courtnee. Good morning to all of you out there. Today, speaking on the call, we will also have Liberty's CFO, Chris Shean. And during the Q&A, we will be available to answer questions related to Liberty Broadband.
 Turning first to Liberty Media. We continued buybacks during the quarter. We're purchasing $74 million from February 1 to the end of April. And looking at some of the operational highlights, SiriusXM reported excellent first quarter results, increasing subscribers to 27.7 million, and increasing their expected net adds for the year. Revenue was $1.08 billion, up 8%. And adjusted EBITDA grew 19% to just under $400 million, $399 million.
 Liberty's ownership stake stood at 57.8% as of April 24. And given that we're not selling and I expect they're buying, I would guess it's higher today.
 Live Nation is off to a strong start for 2015. And though the shape of the calendar was not particularly friendly through the first quarter, the indicators for 2015 ticket sales are solid.
 Live Nation's made great strides in the North American festival market, an important business for them, and we now have 4 of the top 5 festivals. 
 Live Nation's also made great strides at monetizing its fan base through its -- both sponsorship and advertising. They've continued and expanded their Yahoo!-Live relationship. And this summer, we look forward to launching Live Nation TV with VICE.
 With that, I'm going to turn it over to Chris to talk about some of our financial results. 
Christopher Shean: Thanks, Greg. As in the previous few quarters, given now that our ownership is over 50% of Sirius, we consolidate Sirius but recommend that you review their financial statements directly, which you can find on their website and in their publicly filed documents.
 At quarter end, we had cash and liquid investments of $1.2 billion and principal amount of debt of $6.5 billion, which includes $5.2 billion of debt at SiriusXM and a margin loan at Liberty. Included in the $1.2 billion in cash and liquid investments balance at March 31, 2015, is $482 million held directly at Sirius.
 Liberty's cash and liquid investments, excluding cash at SiriusXM, was $763 million.
 And now we'll turn it back over to Greg for Q&A. 
Gregory Maffei: Thank you, Chris. To the audience, we appreciate your continued interest in Liberty Media. And operator, I think we'd now like to open the floor for questions. 
Operator: [Operator Instructions] Our first question comes from the line of James Ratcliffe, Buckingham Research. 
James Ratcliffe: One on LMCA; one on Liberty Broadband, if I could. On the LMCA side with nearly $800 million in cash at this point, are there thoughts if -- about working cooperatively, for example, with Broadband's? And it seems like if the Bright House deal had gotten done or that essentially all of Broadband's cash would have been used up in that, so putting -- working together on cable acquisitions and having stakes in cable businesses ending up in LMCA as well? And I guess secondly, on Broadband, is there -- the Bright House and transaction seemed to be structured to ensure that the voting stake in Bright House stayed above 25%. Is there anything specific about that 25% number? Is there a bright line for anything? Is there anything where owning -- or voting 25.01% is meaningfully different than 24.99%? 
Gregory Maffei: Thank you, James. Well, on the first part, we spun off Liberty Broadband to separate it from Liberty Media's assets and to create better clarity around Liberty Media's purpose and Liberty Broadband's purpose. And while I can't say there's no way we would ever use Liberty Media cash or Ventures' cash, I think it's unlikely, and particularly, we would use media cash. It doesn't have that much and has other things we have in mind to do there. So that seems to me a less likely prospect. And the clarity we've achieved by splitting Liberty Broadband perhaps makes it easier if we want to raise incremental cash related to cable to raise it there. On to the second point, there are some rules around the Investment Company Act, which are not a death sentence, but which we prefer to avoid, and 25% voting is one of the things that is attached that's useful for us to be above. 
Operator: Your next question comes from the line of Ben Swinburne, Morgan Stanley. 
Benjamin Swinburne: Just picking up on that comment, Greg. You said if we have -- if you have things you want to do at Liberty Media, you've been buying back stock, taking advantage of the NAV discount. Anything strategic that you're focused on? Or are you just referring to the buyback on that point? 
Gregory Maffei: Well, I think if you look at the assets in Liberty Media, they're mostly music-related. They're mostly related to those audio businesses. And I think we'd like to focus on that, and I think we'll see opportunities there. But I don't have any I'm going to enunciate this morning. 
Benjamin Swinburne: Got it. Great. And then the decision to sell some Viacom shares, I guess, any comment there? And then if you look at the -- I think, it's 600 million of other public holdings, can you -- how much of that could you shield with taxes from here and some sense of time frame around that? 
Gregory Maffei: I don't think we've gone public on our NOL position at any one time on that, but we've been able to, through the magic work of Albert, been able to generate some shield and take advantage of market conditions to make a -- liquid our -- some of our positions, and that's part of the reason why our cash balance is up in Media. But we're not going to prognosticate on how much that we'll be able to generate today. 
Benjamin Swinburne: Okay. And then lastly, just on Liberty Broadband, can you just walk us through some ways you think you can raise a lot of capital there? We've all looked at the idea of you helping Charter with TWC. And at least, if you're going to say around 25%, that could be a decent number. Just -- what are the things you could do to raise capital at Liberty Broadband as we think about these scenarios? 
Gregory Maffei: Well, I think there's a wide range of things we could do there, starting with, obviously, the $700 million of cash on the balance sheet. But incrementally, we have the ability to raise both equity capital through rights offerings. We've been approached by many, several or probably more like many partners, potential partners who would be interested in investing alongside with us if Charter would need more capital, Liberty Broadband would participate in that. And there are some other ways we've gone out the marketplace before and shown our ability to -- through hedges and the like to increase our stakes at relatively low costs. 
Operator: Your next question comes from the line of Barton Crockett, FBR Capital Markets. 
Barton Crockett: I was interested in a couple of things. First is the comment about an interest in doing more in the audio space. I was wondering if you could -- I realize you're not going to give us specifics, obviously, what you plan to do, but I was wondering if you could be a little bit more detailed in terms of why you want to do more there. Is it a question of perhaps you need to diversify? If you look at Sirius, revenue growth was driven right now more by subscribers and not less by monetization per sub. So if there's an addressable market question longer term, maybe diversification's important. Maybe there's some additional feature sets that both Sirius and Live Nation need. Or maybe you just see opportunities because you're in the space. I just wonder if you could elaborate. 
Gregory Maffei: Well, first, Barton, I think the fact that Sirius is growing its net adds in a more aggressive rate, more attractive rate yet holding its ARPU constant is a pretty attractive thing in the business. We would -- I'd be more worried if they were -- more worried I'd be less enthused if it was to rate increases. The fact that they're able to hold rate and grow subs is pretty attractive. So that revenue growth is particularly appealing to me, and those who suggest Sirius's growth days are behind it seemed to be mistaken. And that addressable market at Sirius, given how many cars are on the road that are SiriusXM-enabled but are not currently subscribered -- subscribers is one the most attractive features of that business. The opportunity is large. I think there are places where Sirius has got plenty of cash flow to do things on its own, and I don't think we're needed there. There are potentially places where we might help Live Nation who is not as -- doesn't have might -- quite as much financial might. And there are places where we might want to fill in between the 2. But I think it's mostly because we have a strong position through 2 anchors, Sirius and Live Nation, that will generate opportunities for us in the future. 
Barton Crockett: Okay, great. And then just a separate question on the Vivendi litigation. I was wondering if you could clarify one thing, which is, if you do prevail and get cash out of that, who would own that cash? How much would go to Liberty Media versus other entities that have been separated over time? And then just where do we sit with that litigation at that this point? 
Gregory Maffei: Well, the bulk of the money comes to us, but we do have both some legal firms, law firms, which have a -- will get a piece of it, and Liberty Global has a small piece as well. The timing of that, Mr. Baer, would you like to comment? 
Richard Baer: Sure. It's in the briefing process right now. We hope to have oral argument in front of the Second Circuit Court of Appeals in mid- to late fall of this year. 
Operator: Our next question cames from line of Amy Yong, Macquarie. 
Amy Yong: Two questions: one on Media, one on Broadband. First, on Media. I guess a lot of us look at SiriusXM as buyback potential, and the pace has been a little bit lighter than a lot of -- a little bit lighter than we expected. Are there any leverage you can actually pull to accelerate the buyback? And then I have one on Broadband. 
Gregory Maffei: Sure. Amy, I'm not sure what levers us in buying more in the market. I'm -- you're saying that Liberty could pull rather than Sirius or? I'm not sure I understand. 
Amy Yong: I guess are there any -- can you pressure the board to accelerate the buyback or potentially increase your leverage? 
Gregory Maffei: They have a high-quality problem, and that problem is that they have grown EBITDA and generated so much free cash flow that when they set that target of roughly $2 billion a year, that doesn't actually increase their net leverage too much. But I think they are -- have been opportunistic. They've done more than $2 billion last year, and I wouldn't be surprised if they end up doing more than $2 billion this year. 
Amy Yong: Got it. And then with everything that's been happening in D.C., has your view on cable consolidation changed at all? And what gives you a level of confidence that a Comcast -- I'm sorry, that a Charter-Time Warner deal could get done? 
Gregory Maffei: Well, I certainly don't believe that I'm a regulatory lawyer, but I would hope that any regulator would look very favorably upon Charter's participation in the industry. If you're looking at broadband as really the direction of the future and speeds over 25 MB as being most appealing, the fact that Charter has the highest beginning packaging, at 60 or 65 MB, and has really raised the speeds at Charter, I suspect faster than any other major cable company, would hopefully make them be viewed favorably by any regulator. But I obviously can't speak to that, can't speak to the -- what the regulators will look at. But certainly, people would be judicious and thoughtful before any deal went forward. 
Operator: And your next question comes from the line of Kannan Venkateshwar, Barclays. 
Kannan Venkateshwar: Greg, just one question, which is, last year, when you were looking at Time Warner Cable, the whole process was a little bit more hostile. And given what's played out in the interim period, how has your thoughts changed in terms of how you can approach the process? Can you still go back to the kind of process you were looking at last year in terms of a whole proxy process, replacing the board and so on? Or are you looking at a different process where you need to work with Time Warner Cable now compared to what you did last year? 
Gregory Maffei: Yes. I think the -- and this is obviously driven by Charter, not by Liberty Broadband, though through our ownership and, obviously, John's position in the industry, we have some voice. But I believe any transaction that goes forward, if they're -- one were to occur, will be a friendly transaction, looking for the best of breed in both management teams in trying to drive an improved experience both for consumers and shareholders going forward. 
Operator: Your next question comes from the line of Vijay Jayant, Evercore ISI. 
Vijay Jayant: Greg, on the fact that LMCA has still a pretty substantial discount to the underlying Sirius, any thoughts on the prospect of Sirius actually buying back LMCA shares? As far as the buyback, do you believe, eventually, if they're going to be one and the same? 
Gregory Maffei: Have you been talking to John Malone? That's John's favorite idea. But I think the issue there is we're -- we -- what would happen to the Hybo [ph] chairs then some transaction like that, and it's not clear that that solves all the needs. It really is about trying to minimize those discounts going forward and have them be aligned. Look, I think it's not -- it's nice to have. We said to consolidate 100% of SiriusXM, it's not a need to have. If we continue with the current pace, we're going to get larger and larger percentage of that company because we are not sellers today. And I don't anticipate us being sellers in the near term. And so most of our strategic objectives can be solved by the current situation. And in fact, it's getting better and better for us in terms of ownership. 
Vijay Jayant: On Liberty Broadband and the Charter prospect with Bright House, can you confirm that the Bright House deal is dead right now? Or is there still speculation at least the press... 
Gregory Maffei: You know I'm not going to confirm or deny that one, come on. 
Operator: Our next question comes from the line of John Tinker, Maxim Group. 
John Tinker: The Live Nation put out a convert. You bought forward some stock against that. Is there any way we could get an idea as to how -- what your position could go to because I think you're at 27%? And secondly, could you remind everybody exactly why there's a cap of 35%, and could that change? 
Gregory Maffei: John, our position could go to 35%, I think, as you rightly noted. And that cap's played -- agreements that were with the former parent of Live Nation, Ticketmaster, and we agreed to a cap of 35% in our holdings to fund that and the entity was funded from its former parents. 
John Tinker: And could that be changed? 
Gregory Maffei: Yes. I believe by vote of the board. 
Operator: Your next question comes from the line of Matthew Harrigan, Wunderlich Securities. 
Matthew Harrigan: Question. When you look at the music business, a lot of these different national markets tend to mirror each other a lot structurally. You can really have an anomaly where SiriusXM listening to you, and Jim Meyer, you've got a great satellite business. You've got a unicast streaming business. And then offshore, big markets, the U.K., Japan, you've got a very different market structure. There's nothing analogous to SIRI, Spotify and some of these other streaming players, probably get more power. Other guys start up these big integrated tech companies and the market just looks really, really different. Do you think that's a point of stress? I mean, people -- years ago, people constantly ask SiriusXM about going overseas. But is it -- do you think you can be the guerrilla here and not be even in Brazil or China or Germany? 
Gregory Maffei: I think a couple of things, Matthew. First, the streaming business or the way it's currently described as a stream business is really kind of a misnomer. We today at SiriusXM have streaming technology, domestic only, I acknowledge. But we have a model that we think is the more important. We have a business model that works with a lot of differentiated content and not just relatively commoditized music. Now do I think scale is important and will be important ultimately for us? Yes. I think the business model of what is called these pure streamers, over-the-top music companies with relatively commoditized music have not been attractive, and we've not found an entry point to be in that part of the business that is appealing. I would note, however, that to your point about international, Sirius has real potential through its connected vehicle relationships that is building with all the car companies to build that kind of a global product. And I wouldn't be surprised if somewhere down the road, something arose from those relationships. 
Matthew Harrigan: So could you even be a streaming company offshore? I mean, just a streaming company given your overall expertise in the business? 
Gregory Maffei: Well, again, we are a company that's both somewhat unusual in that we're a content company with a lot of differentiated content and a distribution company here in the United States that owns our own distribution through the satellites. We also, as I said, have distribution through other means, whether it'd be into your home or in your office, over the Internet, over the top. Do I think outside the United States it's possible, if not likely, that we could become a player through over-the-top and not own the distribution? That seems like the most likely path, so again, it may very well involve our strong relationships with the OEMs, the car companies. 
Operator: Your next question comes from the line of Tom Eagan, Telsey Advisors. 
Marah Formanek: This is Marah, on for Tom. First, we just saw Spotify looking to get into a web-based video. Could you talk about if Sirius has any plans for video in the car or anywhere else? And then for Broadband, how does the M&A landscape with Charter, Time Warner Cable and Bright House change how you're thinking about the portfolio? 
Gregory Maffei: Well, let me ask on the second one first. What do you mean changed how we're thinking about the portfolio? I'm not sure I'm following. 
Marah Formanek: For just -- just consolidation in the industry, how is it changing the thought process? Or how are you thinking about that? 
Gregory Maffei: Well, I think looking at Charter's results, which continue to be the industry-leading in terms of growth, we are very excited about the Charter's ability to run the business it has. That having been said, I think we've been articulate on the topic, somewhat vocal as has Charter that the opportunity to build scale to combat not only the scale of the content companies but the scale of potential technology competitors is an attractive option both for the shareholders, but I also believe for consumers because the need to make technology investments requires that scale. The need to make improvements in the user interface to make improvements and the product and services delivered. So I think that there's every logic for consolidation to go forward. Obviously, it has to be done in a way that the regulators find workable, and hopefully, we'll be able to find a transaction that makes sense somewhere down the road if one is appealing from a shareholder perspective as well. On the first point, I think the short-form content, over-the-top content market is a very -- a market in flux. It's one that Liberty has spent a bunch of time looking at it. It's one that Sirius has spent some time with as well. You may recall, for those who were long-time SiriusXM -- Sirius or XM aficionados, at one point they had a trial with Chrysler to do backseat video. I think they got about 5,000 or 10,000 subscribers at the top, at the max. Do I imagine that, somewhere down the road, Sirius could be in the direct-content business, including in video? I certainly that as possible, but I don't see that as a near term in the car. That seems more problematic.
 Are there more questions? 
Operator: Our final question is from the line of Rick Greenfield BTIG. 
Richard Greenfield: Given how Time Warner has followed the Charter and even the Comcast blueprint to improve broadband speeds and service, I'm curious what do you think would be the key public-interest benefits of a Time Warner-Charter merger? And then just attached to that, if this current administration is just simply hostile to large-scale broadband consolidation, would you reduce your focus on U.S. cable and focus more on overseas cable at Liberty Global and other assets? 
Gregory Maffei: So on the first point, I think I touched on this just a second ago. A lot of what has to happen to build the best experience for consumers in the United States requires large dollars and large scale and efficiencies. And the potential combination of some of these players will surely add to that. Regulators may have their fears, and we need to make sure that they are considered about monopsony power in the broadband space but I think we should be able to, given the relatively small size of Charter today, be able to convince them that that is not an issue. But that's a task we'll have to pursue if a deal ever comes to pass. As far as overseas, I don't believe that's the focus of Charter or Liberty Broadband today, but you'll never know what the future holds.
 Operator, I think that's it. And with that, I'd like to thank you, all, for your interest in Liberty Media, and hopefully, we'll speak to you again next quarter, if not sooner. 
Operator: Thank you. Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.